Operator: Good day, everyone, and thank you all for joining us to discuss Equity LifeStyle Properties Fourth Quarter and Year-end 2020 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the company's earnings release. As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meaning of the Federal Securities laws. Our forward-looking statements are subject to certain economic risks and uncertainty. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events.
Marguerite Nader: Good morning, and thank you for joining us today. I am pleased to report the final results for 2020. Our performance shows the resiliency of our business. In 2020, our teams met each challenge with confidence and conviction. Our teams focused on providing a safe experience for residents, customers and employees. We were able to serve our residents and customers in a challenging operating environment while maintaining our impressive customer feedback scores. We continued our record of strong core operations and FFO growth with a 10% growth in normalized FFO per share in the quarter. The fundamentals of our business remains strong with demographic and economic trends creating tailwinds for future growth. In 2020, our MH portfolio increased occupancy by 293 sites. We experienced continued strength at our MH properties with full year rent revenue growth of 4.6%. We saw fewer move-outs this year primarily due to shelter-in-place orders. We adjusted our sales and marketing efforts, and we're able to access new customers and efficiently showcase our homes in a virtual environment. Throughout the fourth quarter, there were over 100 virtual home tours on our website. Website visitors looking at our listings were 3x more likely to express interest in the community and share their contact information for a follow-up from our team after reviewing a virtual tour on our website. We see this as an opportunity to further grow our lead base. Turning to RVs. In 2020, the demand was strong for RV sites across the country. In the quarter, we saw an increase in core transient revenue of 15%. This growth was fueled by marketing campaigns for fall and winter camping opportunities. Our customers are interested in experiencing vacations in a safe environment. We also see an increased flexibility in customer schedules that will continue to benefit us. In 2020, our Thousand Trails membership portfolio performed in line with pre-pandemic expectations. Our dues revenue increased over 4% to $53 million. We sold over 20,000 camping passes and increase of over 6% from 2019. Our upgrade sales increased 15% over 2019. As we found more customers interested in increasing their commitment to the Thousand Trail system.
Paul Seavey: Thanks, Marguerite, and good morning, everyone. I will review our fourth quarter and full year 2020 results and provide an overview of our full year 2021 guidance. Fourth quarter normalized FFO was $0.57 per share. Strong performance in our core portfolio generated 3.6% NOI growth for the fourth quarter. Core NOI growth of 2.9% for the full year contributed to our normalized FFO per share growth of 3.9%. As Marguerite mentioned, full year core community-based rental income growth was 4.6%. Rate increases contributed 4.1% growth, while occupancy generated the additional 50 basis points. Our 2020 core occupancy increase included a gain of 345 homeowners. Our rental homes continue to represent less than 6% of our MH occupancy. Full year core resort base rental income growth from annuals was 5.6%, with 4.9% from rate increases and 70 basis points from occupancy gains. Core RV seasonal and transient revenues declined 3.7% and 8% respectively for the year. Fourth quarter seasonal RV revenues were approximately $2 million less than last year mainly due to the travel-related restrictions impacting Canadian and U.S. domestic customers decisions to spend the winter season in our southern resorts.
Operator: Thank you.  Our first question comes from the line of John Kim with BMO Capital Markets. Your line is now open.
John Kim: Thank you. Good morning. I was wondering if you could discuss the decline that you're expecting in transient and seasonal RVs in the first quarter. I think, Paul mentioned half of that were the Canadian customers, but what was the reason for the remaining $5 million?
Paul Seavey: Sure. So, John, as we -- let me just frame it overall. We previously talked about the seasonal and the Canadian customers. Those Canadian customers represent about 10% of our RV revenue in a normal year, I'll call it. Roughly 2/3 of that is annual from about 3,500 customers. And then 25% of the Canadian revenue is seasonal, and of that 25% comes in the fourth quarter and 70% in the first quarter. So with the continued impact of COVID-19 on our customers decisions to travel and stay at our properties, the fourth quarter seasonal was down $2 million. The main factors that are impacting the first quarter really are the Canadian border closure, and then the domestic customers concerns over travel guidelines in their individual states, as well as uncertainty related to vaccine distribution and availability. And finally, I'll say fair weather in the North has also contributed to customers decisions to stay home rather than travel to warmer parts of the country.
Marguerite Nader: And John, what we're seeing, really the decline in the revenue is primarily coming from Orlando, Rio Grande Valley of Texas and Arizona. Those are kind of the key areas where we're seeing the decline from the U.S.
John Kim: And so what are you projecting for the remainder of the year? I realize the first quarter is seasonally high as far as the impact from Canada. But as far as seasonal transient, how much -- what's your projections for the remainder of 2021?
Paul Seavey: Really, on the seasonal, as I framed it, I mean it's 95% between the first quarter and the fourth quarter. So there is very little in the second and third quarters, I think it's around $0.5 million. On the transient side, it's too early for us to kind of share. We don't have good visibility into that until we get closer to the season. But I'll say we anticipate a return -- our guidance assumptions include a return to a more normal environment than we saw in 2020.
Marguerite Nader: And then we're seeing, as Paul mentioned in his comments, an increase in people just pushing their deposits forward into next year. So that's four times greater than what we've seen in previous years.
John Kim: Okay. On the Thousand Trails membership, the revenue was up year-over-year and was up from the third quarter's run-rate, but the membership count was down, I think, higher than it has been seasonally, it was down about 1.5% sequentially. Did you lose more members because you pushed rate higher this quarter or was it because of just demand in the product, in RVs?
Paul Seavey: I think what we saw was -- I wouldn't characterize it as a change in demand, I think it was a slight uptick in the attrition of the legacy members. I think that there were customers who in this environment, they opted not to stay at the properties. And as historically has happened, if customers aren't using the product, we do see that in the attrition. That slight uptick was offset in the products that we did sell during the course of the year. So with a relatively flat member base, we saw a change in the mix of dues related to the products sold and that's really what drove the rate.
Marguerite Nader: And then we saw that the -- you saw the increase in the upgrades, which allows people to have extended periods of time at our property, fewer restrictions, advanced booking windows, etc., and we saw an increase in the appetite for those upgrades.
John Kim: Got it. Okay. Thank you very much.
Marguerite Nader: Thanks, John.
Paul Seavey: Thanks, John.
Operator: Thank you. Our next question comes from the line of Keegan Carl with Berenberg. Your line is now open.
Keegan Carl: Hey, guys. Thanks for taking the questions. So I guess, first off, it appears your property operating expense growth kind of outpaced your rental income this quarter. Can you walk us through some of the components that drove the expenses higher, including insurance? And were there any one-offs in there?
Paul Seavey: Sure, sure. So I think given the variability just that we've seen in expenses all year, it's probably best to talk about expenses for the full year. So when you think about our operating expenses, utilities represent more than 25% of our total core expenses, payroll that's just over 20%, and then real estate taxes and R&M are each about 15%. So on a combined basis, that's 80% in total. I did mention hurricanes Hanna and Isaias, as well as COVID as drivers of our expense increase in the year. On a combined basis, these represent more than $5 million of expenses that we experienced. So adjusting for that, our kind of run-rate expense would be closer to 3.5%. We do -- as we've talked on past calls, we do have expense pressures that contribute to the growth that include the property and casualty insurance that you mentioned and also wage pressures. And I will say also as a result of COVID and the eviction moratoriums that are in place, we saw an uptick in the bad debt expense in the year as we were able to -- unable or delayed in our ability to resolve delinquent tenants.
Keegan Carl: Okay. That's very helpful. Thank you. And then kind of a follow-up here. Can you give us some more color on the Marina acquisition? Is the makeup of it somewhere to your Loggerhead portfolio? And in regards to kind of the annual revenue sources, is there minimal revenue that's going to flow through the TRS?
Patrick Waite: Sure. It's Patrick. And first, I'll just give an overview of the Marker 1 acquisition. So that property is located in Dunedin, Florida. It's almost 500 slips, that's on the north side of the peninsula that forms Tampa Bay. And we own Loggerhead, St. Pete on the south side of that peninsula. So we have two premier marinas in very solid locations with direct access to the gulf. They're highly amenitized with captain's lounges, pool showers, solid amenity areas. And the makeup of that asset is similar to Loggerhead, it's a direct comp to St. Pete and that it's highly annual -- high stable annual occupancy and it's the type of asset with a fee simple ownership that we target in our marina portfolio.
Keegan Carl: Great. Perfect. That's it from me, guys. Thank you.
Operator: Thank you. Our next question comes from the line of Samir Khanal with Evercore ISI. Your line is now open.
Samir Khanal: Yeah. Hi, Marguerite. I guess on the acquisition side, can you provide a little bit of color of kind of what you're seeing in the pipeline? It clearly did more last quarter. I guess, how should we think a bit more last quarter. I guess, how should we think about the pace of acquisitions over the next sort of 12 months to 18 months based on what you have in the pipeline under maybe due diligence care?
Marguerite Nader: Sure. So I'm pleased with our deal flow in 2020 and also heading into 2021. We have seen and we've often discussed more and more sellers are holding auctions to complete a transaction. Our acquisition team looks at all of the transactions that are out there and underwrites the deal to determine whether or not it's a strategic fit for ELS. I think what you've seen, Samir, over the last, probably 4 or 5 years, we have a -- we tend to have a pretty high concentration of our deals in the fourth quarter. I can't exactly explain why that tends to happen, but we tend to be focused in that fourth quarter. So our pipeline, we're pleased with where we're at with talking with sellers and in various stages of LOI and purchase and sale agreements. And as we close them, we'll certainly disclose and discuss them.
Samir Khanal: And remind me, if I missed this, I apologize, but did you disclose the cap rates on the properties that you acquired?
Marguerite Nader: We did not. No, I did not. I'm happy to talk about it. So the properties, as I mentioned in my remarks, there where -- they're geographically diverse, there was an average cap rate of about 4%. The deal flow that we had was really, in terms of the sourcing for the deals was in line with what we've seen in the past, in that we relied on our strong relationships for the majority of the deals and then a couple of the deals came through our broker network.
Samir Khanal: Okay. And I guess one last one from me. Paul, I guess from a modeling perspective, is there a prepayment penalty on the '22 debt that you're planning to repay here?
Paul Seavey: There will be. We negotiate -- because the deal is a deal with an existing lender, refinancing properties that they have in place loans, we were able to negotiate 50% reduction on that prepayment penalties. So it will be about a $2 million prepayment when we close on that.
Samir Khanal: Got it. Okay. Thanks very much.
Marguerite Nader: Thanks, Samir.
Paul Seavey: Thanks.
Operator: Thank you. Our next question comes from the line of Nick Joseph with Citi. Your line is now open.
Nick Joseph: Thanks. I appreciate the color on, I guess, really early 2022 booking pace. How are you thinking about pricing or rate relative to this year and I guess relative to 2020 as well?
Marguerite Nader: As we look at the rates for -- we've set rates certainly for the setting them for the summer now. As we think about heading into next year, those rates aren't set yet. But we see really strong demand within our -- to the extent that people are able to move around, which has been the case for a while now, strong demand, so I would see us continuing to be able to push rate, but at the same time, investing properly in our communities to be able to support that rate.
Nick Joseph: I guess my question is more toward the seasonal, you had mentioned that the booking pace for 2022. So isn't that just a deposit at this point or they're already kind of rate conversations?
Marguerite Nader: Yeah. That's just a deposit at this point.
Nick Joseph: Okay. And then how are deposits for this year being treated? Are they rolling forward to 2022? Are they being refunded for anything in this first quarter?
Paul Seavey: We have a flexible reservation policy that allows customers to receive a refund if they're interested. Our marketing and sales team, however, are -- as I think you can tell from what we're talking about in terms of advance reservations for 2022, they're very focused on suggesting the customer extend or delay their reservation. And because of the level of interest, we're certainly seeing that rollover or push forward happen.
Marguerite Nader: And our customers are interested in really reserving their place because I think they feel there is going to be heightened demand and they want to make certain that theyr'e able to -- when the season -- when the time is right and the season is upon us again next year, able to come down and visit us.
Nick Joseph: Makes sense. Thank you.
Marguerite Nader: Thanks, Nick.
Paul Seavey: Thanks, Nick.
Operator: Thank you. Our next question comes from the line of Joshua Dennerlein with Bank of America. Your line is now open.
Joshua Dennerlein: Hey, Marguerite. Hey, Paul. Hope you're doing well.
Marguerite Nader: Hi, Josh. Hope you're doing well as well.
Joshua Dennerlein: Good. I wanted to pick up on Paul's comments to the spring-summer reservation pace is accelerating. Curious, what's driving that?
Paul Seavey: I think it's -- I don't know about you Josh, but I'm a little tired of looking at the four walls in my house. I think people are thinking about spring and summer vacations. I was having a conversation, actually, just the other day with somebody who was talking about planning a spring break for 2022 and I scratched my head a little bit because I thought maybe people will be able to get out in spring of '21. So I think we are seeing demand similar to our experience last year late in the fall season when some of the shelter-in-place orders lifted. People are eager to be outside and definitely, I think, view our RV resorts as places that they can safely do that.
Marguerite Nader: And we're also seeing an increase in transactions and people coming through our RV dealer program, and our RV dealer program activations are up 20%. And these really -- these activations provide a pipeline for our customers to visit our resorts and our campgrounds. So that's another component that's helping us see that increased demand.
Joshua Dennerlein: Okay. Awesome. And then I wanted to touch base on that development property you bought in Arizona. Is that a truly ground-up development or more of an expansion of the adjacent property?
Marguerite Nader: No, it's an expansion of the adjacent property. So it's a property of really high-quality, age-qualified property that has 484 existing sites. There is some amount -- a small amount of vacancy, I want to say 30 homes or 40 homes -- sites vacant within that footprint, and then there is an additional 228 sites that are adjacent to the property for development.
Joshua Dennerlein: Okay. Okay. Great. Good color. I'll leave it there. Glad you guys are doing well.
Paul Seavey: Thanks.
Marguerite Nader: Thanks, Josh.
Operator: Thank you. Our next question comes from the line of Todd Stender with Wells Fargo. Your line is now open.
Todd Stender: Hi, thanks. Get back to Marguerite, I think you mentioned a four cap on the new acquisitions. Can you give us color maybe on how the rents are compared to market and any color on occupancies? I guess I want to try to start to get to more of a stabilized yield, which I would think would be closer to a six, if not accurate...
Marguerite Nader: Yeah. I mean I think the way I think about -- I'll just kind of look at two- and three-year yields out. The five of the RV properties, they'll really benefit from institutional ownership as we -- as really we invest more CapEx and bring rates to market. One of the RV resorts that we bought has upside in filling annual sites. It's more of a -- more transient nature, we think filling the annual sites that are unoccupied right now makes sense and there'll be upside there. And then three of the properties have expansion potential, most notably the property I just talked about with the 225 sites. So I think that there is certainly an ability over the next two or three years to increase that to 200 basis points pickup.
Todd Stender: All right. That's helpful. And then just kind of switching gears to new homes, we saw this morning just new home prices remain strong, just with the Case-Shiller Index on single-family. And your new home sales continue to be strong. Can you speak to the price points that you're selling at right now and maybe how that's compared to maybe this time last year?
Patrick Waite: Sure, it's Patrick. Well, you noted our new home sales for the quarter were up 8% and were up 30% for the full year. So it's a good consistent demand profile. We've seen consistent pricing. Where we do have an opportunity to push price, we will. That tends to skew toward more of our premier assets to assets that Marguerite just summarized in our new acquisition in the Greater Phoenix market will present an opportunity to new home inventory in increasing prices as well. But the prices have been relatively consistent year-over-year and I would describe them of as having a significant lift, but that is coupled with strong demand and we'll be looking for opportunities to raise prices where we see that opportunity.
Marguerite Nader: And I think what we're seeing, as I mentioned in my comments, is the ability for us to access the customer while they're at home in the north via the virtual tours has been really helpful for them to appreciate what we have to offer. At this point, I think we have a total of two homes that were sold site unseen, physically site unseen. I know two is not a big number, and that number is going to be a bigger number in a year and a couple of years from now, but I just want to highlight that, that's just another avenue that we're pursuing.
Todd Stender: That's helpful. And just last from me. Just with -- in terms of expansion sites, I'm not sure if I missed this, so there was 1,058 expansion sites were added in 2020, 549 of which were MH. Do you guys have numbers for 2021?
Patrick Waite: Yeah. For 2021, we expect to deliver between 1,000 and 1,100, and the mix there, I think, is slightly skewed toward RV, but that's -- our target is to be in that range on a run rate basis for the foreseeable future.
Todd Stender: Great. Thank you.
Marguerite Nader: Thanks, Todd.
Operator: Thank you. Our next question comes from the line of John Pawlowski with Green Street Advisors. Your line is now open.
John Pawlowski: Hey, good morning, and thank you for the time. Going back to...
Marguerite Nader: Good morning, John.
John Pawlowski: Good morning. Going back to the transactions, I appreciate the color on the four cap in terms of average. Could you break out that number between MH, the one big MH deal and RVs and the marina?
Marguerite Nader: Sure. It's really -- the cap rates range from 3.5% to 5.5% and the barbells really are the high-quality MH at the lower end and then the RVs kind of throughout, and then the marina at the top end of that range.
John Pawlowski: Okay. Great. And then your comments about -- I'm pleased with the deal flow heading into this year. Is -- that roughly $200 million in acquisitions, is that a reasonable base case for this year? Would you take the over or under on that line?
Marguerite Nader: I don't think I'm supposed to be betting or taking the over and under on anything, John. So I would say I'm pleased with the -- with where we're at. I think that we have strong engagement with our -- with sellers and we'll do deals that make sense for us. Does that work for you, John?
John Pawlowski: Yeah, works for me. One last question. I wanted to square the commentary about kind of the pent-up seasonal and transient demand for whenever the coast is clear on COVID. With the comment that it sounds like guidance presumes that the seasonal and transient gets back to a normal year like 2019, that pent-up demand language to me sends a signal that just absolute dollars are going to be a lot higher than late 2019 kind of pre-COVID run rate. So did I misinterpret the comment that guidance presumes a normal year? Or just some help -- some comment would be helpful there.
Paul Seavey: I think we're still in the midst of a pandemic, right? So, our guidance is -- has an assumption for a return to normalcy. We do see some early indicators of pent-up demand that could potentially be to our benefit. But at the same time, each week, we read another headline about a restriction that's being added or being lifted, and it's frankly a really challenging environment to try to predict a revenue stream that really we don't have good visibility into -- in a normal year more than 90 days out.
John Pawlowski: Okay. Understood. Thank you.
Paul Seavey: Thanks, John.
Marguerite Nader: Thanks, John.
Operator: Thank you. Since we have no more questions on the line, at this time, I would like to turn the call back over to Marguerite Nader for closing comments.
Marguerite Nader: Thank you very much. We look forward to updating you on our next earnings call. Take care.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.